Operator: Good morning, ladies and gentlemen. Welcome to the Spark Energy, Inc. First Quarter 2020 Earnings Conference Call. My name is David, and I will be your operator for today. As a reminder, this conference is being recorded for replay purposes. Today's call will be posted on Spark Energy, Inc.'s website.I would now like to turn the conference over to Mr. Mike Barajas with Spark Energy Inc. Please go ahead.
Mike Barajas: Thank you. Good morning. And welcome to Spark Energy's First Quarter 2020 Earnings Call. This call is also being broadcast via webcast, which can be located in the Investor Relations section of our website at sparkenergy.com. With us today from management is our CEO, Keith Maxwell; and our CFO, Jim Jones.Please note that today's discussion may contain forward-looking statements, which are based on assumptions that we believe to be reasonable as of this date. Actual results may differ materially. We urge everyone to review the safe harbor statement in yesterday's earnings release as well as the risk factors in our SEC filings. We undertake no obligation to update these statements as a result of future events, except as required by law.In addition, we will refer to both GAAP and non-GAAP financial measures. For information regarding our non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures, please refer to yesterday's earnings release.With that, I'll turn the call over to Keith Maxwell, our CEO.
William Maxwell: Thank you, Mike. I want to welcome everyone to today's earnings call. I will begin by providing a summary of our results from the first quarter. And then our CFO, Jim Jones, will provide more details on the financials. In the first quarter, we reported adjusted EBITDA of $30.3 million, driven by a decrease in our C&I load as part of our strategic focus to improve hedging strategies and maintain higher value residential and small commercial customers as well as lower G&A expenses. Retail gross margin was $55.5 million for the quarter, a 2% decrease from the first quarter last year, which was $56.6 million.We have indicated in our last few calls that our total RCE count continues to trend down as we take deliberate actions to improve the quality of our customer portfolio. In addition to that, we have halted our door-to-door marketing in an effort -- due to the COVID-19 pandemic.In summary, our customer book is simplified platform that has contributed to a successful quarter. While we cannot predict the length of time that we will continue to endure the ongoing challenges related to COVID-19, we will continue to look for ways to streamline the business as well as deal with the effects of the pandemic.That concludes my prepared remarks, and I will now turn the call over to Jim for his financial review. Jim?
James Jones: Thank you, Keith. Good morning. In the quarter, we achieved $30.3 million in adjusted EBITDA compared to last year's first quarter of $25.1 million. Retail gross margin for the quarter was $55.5 million compared with $56.6 million last year. In our retail electricity segment, gross margin was $30.8 million compared to $30 million in the first quarter last year. Volumes were lower due to a reduction in the customer base, primarily due to our pivot away from larger lower-margin commercial customers. These impacts were more than offset by our electricity unit margins as a result of improvements in our customer mix and a soft commodity price environment.In the retail natural gas segment, gross margin was $24.7 million compared to $26.6 million in the first quarter last year. This decrease was attributable to lower volumes due to lower RCE counts and the mild winter weather in the Northeast.Our G&A expenses of $25.7 million were lower as compared to the prior year quarter. Total RCE count in the first quarter was 585,000 RCEs, down as a result of the continued strategic shift away from low margin, large commercial customers and the effects of the pandemic on our sales activities. Our attrition of 5.7% is up slightly from 5.4% from the first quarter of last year.Our net income for the quarter was $10.1 million or income of $0.20 per fully diluted share compared to net income of $2.7 million or a loss of $0.09 per fully diluted share for the first quarter of 2019. The increase in net income is driven by reductions in G&A, our customer acquisition costs and the noncash mark-to-market accounting associated with hedges we put in place to lock in margins on our retail contracts. We had a mark-to-market loss this quarter of $7.9 million compared to a mark-to-market loss of $11.7 million a year ago.On March 16 and April 15, we paid the quarterly cash dividend on our Class A common stock and Series A preferred stock, respectively. On April 21, we announced first quarter dividend of $0.18125 per share on our common stock to be paid on June 15 and $0.54688 per share on the preferred stock to be paid July 15. We have paid a quarterly dividend since the public offering. However, the company is evaluating the impact of the COVID-19 pandemic. And as such, we will review the common and preferred dividend along with all facets of the business. Business conditions and future financial results will drive all decisions concerning the continued payment of the dividend.That's all I have. Back to you, Keith.
William Maxwell: Thanks, Jim. As the first quarter of 2020 comes to a close, I want to thank our employees and suppliers for their hard work producing a good quarter. I want to thank Spark's customers for choosing our -- choosing us as their energy provider. I also want to thank the first responders and frontline health care professionals for their tireless effort in battling this pandemic. Our thoughts and prayers are with you. God bless.
Operator: Thank you. This concludes today's presentation. You may disconnect your lines at this time.